Operator: Good day, and thank you for standing by. Welcome to the Cambium Networks Third Quarter 2024 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Jacob Sayer, Chief Financial Officer. Please go ahead.
Jacob Sayer: Thank you, Rita. Welcome, everyone, and thank you for joining us today for Cambium Networks' third quarter 2024 financial results conference call, and welcome to everyone else as well for joining via the webcast. My name is Jacob here. I'm the Chief Financial Officer of Cambium Networks, and I'm joined by Morgan Kurk, our President and CEO. The financial results press release for the third quarter is accessible on the Investor page of our website and has been submitted to the SEC on Form 8-K. The transcript of today's prepared remarks will also be available on our Investor page after the conclusion of the call. As a reminder, today's remarks, including those made during Q&A, will contain forward-looking statements about the Company's outlook and forecasted performance. These statements are based on current conditions, forecasts and assumptions. Risks and uncertainties could cause actual results to differ materially from today's remarks. Except as required law, Cambium Networks does not undertake any obligation to update or revise any forward-looking statements for any reason after today's presentation. It's our policy not to reiterate our financial outlook. We encourage listeners to review the full list of risk factors included in the safe harbor statement in today's financial press release and most recent filings, including the most recent 10-K and 10-Qs. We will also reference both GAAP and non-GAAP financial measures and specifically note that all sequential and year-over-year comparisons reference non-GAAP numbers, except where that's otherwise noted. A reconciliation of non-GAAP measures to GAAP is included in the appendix to today's financial results press release. Now let's turn to the agenda. Morgan will provide key operational highlights for the third quarter. And I will provide a recap of the financial results for the third quarter '24 and discuss our financial outlook for the fourth quarter. Our prepared remarks will be followed by a Q&A session. And now I'd like to turn the call over to Morgan.
Morgan Kurk: Thank you, Jacob. Revenues for Q3 '24 were $43.7 million. Recognizing the market challenges, we are pleased that the revenues were within the outlook range we provided during our Q2 '24 financial results call on August 8, 2024. Equally important to note, we grew in all geographies in our Enterprise business, with revenues up sequentially by 34% to $15.2 million. This was offset by lower revenues in our point-to-point, PTP, business primarily due to lower defense revenues. While we are confident that defense revenues will grow next year, it appears that the defense budgets for communication equipment were constrained due to funding pressures from monies required in active conflict zones. Non-GAAP gross margin improved again quarter-over-quarter, growing to 42.3%. Operating margins also improved sequentially as we continue to lower our breakeven point. Free cash flow was a positive $5.2 million during Q3 '24, and our cash balance stood at $46.5 million as of September 30. These results support our belief that the business is moving in the right direction financially, operationally and strategically. Sales of Cambium's products out of the distribution channel, as reported by Cambium's distributors were again higher for Q3 '24 than our reported revenues, and we saw continued declines in channel inventories. We continue to expect sales in and sales out to be at equilibrium by the end of the year. Looking forward, lower channel inventories are expected to result in Cambium's revenue being more directly tied to end-user demand. Looking at some new customer launches. One of the world's largest oil and gas companies and an existing Cambium Networks customer purchased PMP 450vs to upgrade their existing deployment of PMP 450i for faster speeds in the 6 gigahertz band. The Company also selected the CN Matrix TX 2000 Series industrial grid switch that supports extended temperature ranges and power over ethernet capabilities, among other attributes required by outdoor environments. We saw similar adoption of PMP 450b by other industrial customers in the United States during Q3 and expect to maintain that trend. We continue to drive growth in logistics and retail market segments as one of the world's largest retailers selected our CN Wave 60 gigahertz platform to provide wireless connectivity between retail stores and adjacent fuel stations and in their 37 major distribution centers, connecting on-site primary and remote facilities. The 60 gigahertz CN Wave platform will also provide backup paths to existing fiber lines. As discussed on our last quarter's call, Voneus successfully -- successful deployment of Cambium's 60-gigahertz cnWave solution to provide gigabit access to over 3,700 homes on Walney Island off the West Coast of England continues to impress due to both the rapid time to deploy, which is less than 12 weeks and the high penetration rate, which was greater than 20% only weeks after deployment. Voneus has now been recognized by the United Kingdom's Wireless Internet Service Provider Association, WISPA, with their best gigabit wireless project U.K. WISPA award in October. Following multiple deployments at their sites in the Caribbean and Latin America and Europe, Middle East and Africa regions, we completed our first deployment in the Pacific region at a franchise site of global hospitality company. At the [Simoa] location, as with other sites, the Cambium Networks WiFi 6/6E access points and CN Matrix switches are providing an exceptional guest experience and supporting the hotel's operations. The network upgrade was part of a hotel wide renovation completed in October with a grand reopening. In Q4, we expect to complete additional development on our CN matrix switch that is required for broader deployment across the Company's many brands in 2025. Looking now at the product launches that are key to our future success. We released a 2x2 version of our PMP 450b subscriber module SM, that works in both 5 and 6 gigahertz. This product complements our 4x4 access point AP and our 4x4 SM, but at a lower cost. It is capable of more than 500 megabits data rate and expect to be the workhorse of PMP 450 networks. The combination of back-to-back releases on the ePMP 4000 line has significantly boosted performance across many fronts, released 5.8 brought beam forming support and with released 5.9 significant scalability enhancements were added that allow operators to deploy higher numbers of SMs per AP. These advances combine to enable operators to offer more higher data rate packages and achieve price performance superiority. Also in Q3, we introduced market apps, a new advanced service hosted from our CN Maestro platform that provides apps for customers and end users that are customized for specific use cases. The first two apps released in market apps are targeted at the multi-dwelling unit, MDU market, which includes multifamily, student housing, assisted living and similar environments. These apps enable property managers, service providers and residents to manage Wi-Fi services with a simple workflow. The market apps framework will be extended over time with new apps targeted at different verticals and high-value use cases. Finally, total devices under cnMaestro Cloud Management in Q3 '24 increased approximately 3% from Q2 '24 and increased over 14% on a year-over-year basis. I will now turn the call over to Jacob for a review of our Q3 '24 financial results and our Q4 '24 financial outlook.
Jacob Sayer: Thank you, Morgan. Turning to revenue for the quarter. Q3 '24 top line is of $43.7 million decreased 5% sequentially as good growth in our enterprise business was offset by declines in our P2P and to a lesser extent, our PMP businesses. Looking at our revenues more specifically, our enterprise business grew 34% sequentially as demand improved in all geographies and channel inventories continue to decline. Our PMT business declined slightly down 8% sequentially, resulting primarily from slower adoption of 6 gigahertz deployments in North America. The P2P business declined by 32% sequentially due to weakness in defense orders, especially in Europe. While we typically expect defense to grow with historic trends in the second half of the year, this year, we're seeing a delay in projects, as Morgan mentioned, due to current budget prioritization for active conflict zones. By region, Europe, Middle East, Africa revenues, EMEA, decreased 9% sequentially, reflecting a decline in the P2P business for defense, somewhat offset by higher enterprise revenues. North America revenue was higher by 3%, driven by higher enterprise. Asia Pacific revenue decreased by 14% sequentially on lower PMP and P2P revenues again, partially offset by higher enterprise revenues and Central America, Latin America, CALA, improved by 11% quarter-over-quarter. Now let's move on to gross margin. Our non-GAAP gross margin for Q3 '24 continued to move higher and was 42.3% compared to 33.5% in Q2. The higher quarter-over-quarter non-GAAP gross margin primarily reflects lower E&O and losses on supplier commitments. We continue to work hard to manage our operating costs. As we discussed last quarter, focusing resources on those products and projects that are most critical for Cambium's future success. Based upon our actions, non-GAAP total operating expenses, including depreciation and amortization, in Q3 '24 stood at $22.1 million, lower by $1.2 million sequentially as the steps we have taken to better manage and reduce our expenses continue to have an impact. We have now reduced our adjusted EBITDA breakeven point to an approximately $50 million quarterly revenue run rate. We also saw the impact of these actions on our non-GAAP net loss for Q3 '24, which was $3.8 million or a loss of $0.14 per diluted share, an improvement from the non-GAAP net loss of $7.1 million or a loss of $0.25 per diluted share during Q2. We saw an even larger improvement in our adjusted EBITDA for Q3 '24, which was a loss of $2.3 million compared to a loss of $6.7 million for Q2. Now let's move to cash flow and the balance sheet. Cash provided by operating activities was $8.9 million in Q3 '24, significantly higher than the cash provided by operating activities of $2.4 million in Q2. We are focused on improving the order to cash cycle, reducing inventories and managing working capital closely. Cash totaled $46.5 million as of September 30, 2024, and free cash flow for the quarter was a positive $5.2 million. Net inventories of $43 million in Q3 '24 decreased by $7 million from Q2 '24 driven primarily by consumption. Our goal is to reduce and then maintain our inventories at approximately 90 days outstanding. As noted in the press release, as of September 30, we remained in compliance with our monthly liquidity covenant for our outstanding bank debt at each measurement point during the quarter, but we were not in compliance with our trailing consolidated EBITDA covenant as of September 30. The Company was also not in compliance with this monthly liquidity covenant as of October 31. The Company is seeking a forbearance from the bank and is working with them to address its noncompliance with these covenants. Moving to the fourth quarter financial outlook. Considering our current visibility, our Q4 2024 financial outlook follows: revenues between $40 million and $45 million; non-GAAP gross margin between $42.5% to 45.5%. Non-GAAP operating loss of between $3 million to $5 million and adjusted EBITDA is expected to be between a negative $1 million to a negative $3 million and adjusted EBITDA margin between a negative 2% to negative 7%. In summary, we delivered on what we promised for the third quarter and continue to take action to improve our financial results. Looking forward, while the improvements may not be as large as we would like, we are confident that the Company is moving in the right direction. We are controlling the discretionary aspects of the business by lowering expenses. And as a result, we expect our results to continue to improve financially from here. I'll now turn the call back over to Morgan for closing remarks.
Morgan Kurk: I consistently focused the organization on improving operationally, platforming and optimizing our go-to-market for enterprise, and we're starting to see results. As an example, our operational costs are lower, and we are using less capital in our supply chain. At this year's Wispapalooza, the wireless service provider show, we announced our new PMP platform, EVO. This solution converges two of our major product lines, ePMP and PMP 450 into one unified platform. It offers a migration path and a road map solutions that provide best-in-class performance with economic liability merging traditional off-the-shelf WiFi chips with customized FPGA components. Our architecture has been well received, and we are currently in full development ensuring that we're able to meet the future needs of our industry. In addition, our recent software releases for both our PMP 450 and ePMP product lines significantly improved both legacy and current shipping products creating genuine optimism about our near-term opportunities in the important PMP business. Equally exciting is how our enterprise business is now moving in a positive direction. This reflects our emphasis on this high potential portion of our portfolio. We have made significant changes in go-to-market by specializing some of our sales force, focusing on specific verticals in both sales and product features and implementing a concierge service for our most important customers. I believe the progress we have made has been significant and expect it will produce meaningful results for the Company. While our defense business results were disappointing in the past quarter, I'm encouraged both by the positive technical feedback we continue to receive on significant future programs and the size and scope of our pipeline, both in the U.S. and overseas as leading indicators for our future business. I'd like to close by thanking our Cambium employees for their continued dedication to our mission and strategy. The transformation we are going through requires their continued tenacity and we're grateful for their efforts. With that, I'd like to turn the call over to Ripka and begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of John Roy of Water Tower Research.
John Roy: So I have a couple of questions. One, you were talking about the market challenges, certainly defense stuff. What are your expectations for this getting better? I guess one of the -- things I'm looking at is gross margin. So do you think you're improving gross margin as a sign or an early sign that the market is not quite as challenging in the future?
Jacob Sayer: I'd say, I mean gross margins are certainly on an upward trend. The big movements over the last couple of quarters in gross margin is really getting our own house in order from an inventory perspective and the resulting excess and obsolete inventory charges dropping away. We're now down to just about a normal low for those E&O charges. And certainly, they continue to decrease but at a smaller pace for next year. The normal operating range for Cambium should be in the high 40s to around 50% from a gross margin perspective. And so certainly without helping revenue line or increasing revenue line, we'd expect to approach those levels as we go through next year.
Morgan Kurk: If you look, though, I'll just add on to that. If you look at the markets, I think, certainly, our defense market has better than average margins on it. And as that increases, margins overall for the Company will increase. In the commercial segment, there is still a great deal of price pressure. And we're dealing with that the best we can. But I don't expect that to be alleviated during most of next year. We continue to see that type of pressure going on in the market.
John Roy: Great. On the defense stuff, I mean -- I kind of know the answer to this, but do you feel like it's delayed or pushed out or it's just lost opportunity at this point?
Morgan Kurk: So we're very comfortable in saying the business didn't go to somebody else. However -- so that's sort of a pushout comment. What you don't know in this business is whether governments just say, I can do without. So the program doesn't go to its entire fruition. So that's the way I'd answer this.
John Roy: Yes, I got it. So now on the bank situation. Can you give us any color on expectations when -- for resolution of that?
Morgan Kurk: I really can't, John. We're in negotiations with the bank. Obviously, our private equity firm is involved in that as well. So there's no real news other than -- right, other than the covenant breaches that took place at the end of September and at the end of October and that we're in negotiation with them. So there's nothing concrete that we can signal to folks just yet.
John Roy: Understood. And the last question I have is, I mean, obviously, enterprise is doing better which is great. Do you feel like enterprise is kind of like the future for Cambium and kind of where you're headed?
Jacob Sayer: Yes. So I think for the past year, I've been signaling sort of the followed -- following direction. I think that the point to multipoint market is being compressed by a variety of forces. And while I think the work that we're doing there will allow us to maintain share, maybe even grow it depending on how we execute things. I don't see this as a growth market in and of itself. And the defense market is lumpy. So if you look at Cambium as a whole, this is our growth area.
Operator: I am showing no further questions at this time. So I would like to turn it back to Jacob Sayer for closing remarks.
Jacob Sayer: Thank you very much for joining Cambium's third quarter earnings call, and this concludes today's conference call.
Operator: Thank you again for your participation in today's conference. This concludes the program. You may now disconnect.